Operator: Welcome to the NIBE Q2 presentation for 2025. [Operator Instructions] Now I will hand the conference over to the CEO, Eric Lindquist; and CFO, Hans Backman. Please go ahead.
Gerteric Lindquist: All right. Good morning to everyone out there.
Hans Backman: Good morning from Hans as well.
Gerteric Lindquist: We're going to have very much the same procedure as before, where we, in 20 minutes or so, describe the report from our views. And then, of course, you are allowed to questions. We're going to come back to that. So with that said, let's shoot. We believe that the headline fairly much is a sum of -- a summary of the status for the Q2. It's a continued recovery, and we also feel it's a brighter outlook. And we have been claiming that for the last 2 quarters this year, and we saw an uptick already at the end of last year. So if not a trend, it seems like it's a fairly steady path when it comes to the market regaining. Of course, there are issues out there that have been difficult to assess, but we just have to combat those as far as tariffs and all that and also the currency. But we have to, as I said, just combat that. And we're very pleased to see that when the volume or the sales volume increases, then, of course, you also get a better productivity and then we have a good cost control. So then, of course, that results in a better margin. And it's also very pleasing to see that consumers in general have a preference for heat pumps. And we also feel that -- and judge that there will be a continued growth in sales as the year goes by. We are coming back to a more seasonal pattern as we've described several times now. '21, '22, '23, the demand was so enormous, so we didn't really see that pattern. And of course, last but not least, our ambition to come back in an operating margin within the historical levels. I'm sure there are going to be a number of questions regarding that. So we leave it like that. But it remains -- certainly, it remains our ambition there. And of course, we also realize that there are uncertainties, but you can't always blame the world for everything. Our ambition is very clear. And at the same time, we can't say well now we have [indiscernible] promise it's 100% certainty. But that's how we work internally anyway. And I think that's pretty much what we see in this picture. The revenue, of course, is limited the revenue increase, but that is dampened, of course, by the strength in crown. But the operating profit takes a significant jump and also the operating margin. And to address that more in figures, if we look at the combined 2 quarters, we're just sniffing at the SEK 20 billion now with an operating margin of some 8.7%. And of course, we can also see that on a rolling basis, considering the program that we had last year, we're up at 9.2%. And if we look very specifically into the second quarter, then we, of course, see that we again are on the right path. Now we're up at 9.4%. And the growth is not so significant again. But here, we have more of a headwind during the second quarter than we had during the first quarter. Gross margin is increasing, which is pleasing. And the operating profit is around those SEK 944 million. So if we continue just with a few graphs, we -- the profitability, of course, is -- took a dive, and we are now way up again. And if we then look at the distribution of sales and profitability, now we're looking at the profitability, operating profit. Of course, Climate Solutions is really having a -- now you are okay, some pictures, no. So 76% of Climate Solutions now is representing the operating profit. That's a little bit more than usual, which means that the other 2 business areas are lagging a little bit. When it comes to geographical distribution, we don't see that much of a difference. And Europe is, of course, 45% and the Nordic 18% and North America is just under 1/3 of sales. And if we look at the Climate Solutions situation, I know that a lot of you out there -- I think we had the wrong picture up. I don't know whether -- there we have it, yes. And of course, the second quarter shows a continued improvement in both sales and margin. And that's very clear signs, we believe, and the recovery in the heat pump market and implemented cuts in interest rate that also has a positive and naturally impact on our sales at totally different atmosphere today than it was a year ago when it comes to interest rates, of course. And we continue to believe in the long-term positive growth. And as climate changes, we can always argue about the reasons. But when we get warmer, the cooling side of our business becomes stronger. We also see that our joint efforts have been bearing fruit. I mean, we've been working very close between Element and Climate Solution and also cross-selling. So we have really opened up the gates there to a larger degree than we've done in the past. And there, again, of course, the -- it's very seasonal, and we haven't seen that. But in all 3 business areas, the seasonal pattern is going to be more pronounced as we go by. And again, of course, we repeat the ambition to be back at the margin levels or interval that we had in the past. And I'm sure there, again, we're going to continue to discuss that with you. And if we look at the next slide, there's a little bit of confusion here with the slides, I think. We just continue with the heating element. It's a relatively stable demand. Of course, here, we are represented in most of the industry around the world. So that isn't so really seasonal because the varying product categories, they have various patterns. But we can say that the electrification is really meaning a lot to us. And also the rail and semiconductor industries, they are really showing significant improvements. And we also see that although it's always a lag when the element is supplying the heat pump industry or the heating industry in general, of course, they come at a slightly later stage where the producers have had perhaps in the past a little bit too much of an inventory. Now it's slimming out and they don't experience the same growth we estimate that the manufacturers are experiencing. And the industry as such, typically, that is a reflection of perhaps the weaker climate, perhaps very much so in Europe that the industry, they invest a little bit less and that we noticed that in some segments. Of course, again, trade tariffs and currency always going to have an impact on us. But we try to say, okay, they are there, but we have to operate on a professional basis anyway. That's our task. Again, the margin here takes a jump again up from the pre first quarter. And our ambition is still the same to return within the interval that we've had in the past prior to '24 setting in. And when we look at Stoves, say -- okay, now we are coming up to some other figures here. I don't know, but we can comment on those, of course. But the Stoves, that is a little bit unexpected perhaps that the development in North America disregarding all the rumors and all the issues over there, it's been pretty good. Of course, it's been tough for -- or tougher for the Stoves business since we produce in Canada. So we have decided to continue to sell and not to just protect the margin here, but continue the volume because we've been working so many years building up that market. And one of the reasons that we have a considerably lower margin is, of course, that takes a hit when the tariffs come in. And also in Europe, there is a weak performance or a weaker performance. And I guess that the consumer confidence is 100% -- not 100% here. And that, of course, we feel. But again, we believe that the second half is going to be considerably stronger, returning to that pattern as we said ago -- as we said again. And the product launches and the marketing activities that we've had also is a very important factor or important factors for the positivism that we feel for the second half of the year. Here again, I mean, perhaps more pronounced so Hans will return to that perhaps, but the margin on Stoves there, we realize that with such a start during the first half, it will be cumbersome to arrive at the historical level. So there, I think we need a few more quarters to really bring that up to par. But I think I'll stop there. I hope we haven't confused you by the slides perhaps coming in a little bit of a disarray or order. But I think I'll hand it over to Hans, and then you can continue more with precise figures for the quarters, respectively.
Hans Backman: Yes. Well, thank you, Eric. And once again, we apologize for the slide mix-up here. The slides are correct, you can say. But for some reason, the order has been a little bit mixed up. But anyway, I will take you through each business area now with the numbers and then also through the balance sheet and then working capital, cash flow. And then, of course, we will leave room for questions. If we look at the numbers then for Climate Solutions, I mean, year-to-date, the business area has step-by-step improved both in sales and in operating margin, which is thanks to this underlying growth for a sound demand for our products, as Eric mentioned. Of course, there are some clouds out there with the geopolitical situation that is difficult and also with the currency working against us. So the growth that we see here of 4%, that is, of course, the net effect, including translation effect. If we were to remove that, we would see a considerably stronger increase in underlying sales. What's pleasing to see is that the gross margin has improved from the 30.9% this time last year up to 32.6%, continuing to head in the right direction, so to speak. And then an operating margin that has improved by some 66% or even 67%. And there, we see what effect a good volume has on our structure, so to speak. If we just get the volumes into our factories, we have a phenomenal opportunity here to generate a good profit. So the first half year came in at 10.9%. And over the past 12 months, we're now at 11.2%, up from last year's full year of 9.3%. If we head over to the second quarter, that was an even better improvement, you can say, where sales grew by 4.7% on a netted basis, but where currency hit us even more, as Eric said before. So I mean, more than half of the improvement there was erased by translation effects. But here, the gross margin took another step up in the right direction, hitting 33% and the operating profit came in at SEK 840 million, up with 66% and showing an operating margin of 12.3%. So as stated, step by step, we're definitely moving in the right direction within the business area. In terms of geographical distribution of sales, we see a slight increase here, you can say, in the Nordic countries compared to last year. That's the area that came back first, you can say. North America has been almost surprisingly stable, you can say. You would think that a lot of things would not be working as normal over there, but the business actually is. So it's Europe that has fallen a little bit behind compared to last year, but it's on its way now again in the right direction. If we move on to Element. Element has had this development with a rather fluctuating demand. It's not been as fluctuating as neither Stoves nor Climate Solutions. It's been more stable all along. But it's, of course, exposed to many, many segments out there where the HVAC segment is step-by-step coming back. Semiconductor is more and more back already, you can say, whereas other segments like automotive is still struggling, a little white goods as well. Here, it seems as if we only grew by some 2%, 3%. But also here, of course, we had a currency effect taking away more than half of that growth. So the underlying growth has actually improved. And we also here see an improvement in gross margin coming up to above 20%. It's a slightly different business model than the other business areas. That's why it is lower and where the operating profit has grown with some 30%. So we're up at the 6.4% margin, not where we want to be, but definitely on track and in the right direction, which we want to be on, so to speak. And here, over the past 12 months, we're now at 6.3% compared to some 5.7% operating margin for the full last year. If we look at the individual quarter here for Element, it seems as if we have actually declined in growth. And of course, that is also the true number in our reporting, so to speak. But here, the currency hit us even harder, taking away the whole growth. So the underlying growth here has been mid-single digit, you can say. So also on the right track going forward and improved gross margin here. And again, a profit that has risen by some 30%, coming in at an operating margin of 6.6%. In terms of the geographical distribution of sales, there have not been many movements here. It's been fairly stable between the different geographies. And it is, as we've pointed out many, many times, our most global business area. If we then head on to Stoves, as pointed out a couple of times, Stoves is back to a more traditional seasonal pattern, which means that the first half is not as strong as the second half. As an average before we had these strange years, you can say, with the pandemic and then the Russia invading Ukraine, we had like an average operating margin here of some 4%, 5%. And then we had a very strong second half. And we believe we're back to that pattern. But of course, there is a large uncertainty right now with the lack of consumer confidence, low new build rates and such things that have an effect on us. So here, we lost some 13.5% in sales, but less if we adjust for the currency effect, which, however, was not as strong as in the other business areas. But the gross margin has improved. It's at 34%. We did generate a small profit for the first half year, but expect more to be done here during the second half. If we just look at the individual quarter, this is, of course, also part of the weaker part of the year, the first half. But here, we have fallen below, so to speak, our breakeven point, which has led us to generating an operating loss. And here also, the currency hit in stronger than it did in the first quarter. So obviously, we have some homework to do, but we believe that the cost-saving program that we ran last year has had a very good effect, and it's more a matter of volume rather than any structural issue. In terms of geographical distribution of sales, there have been some movements compared to last year where North America actually has come back very nicely being at 38%. It was at 32% last year, whereas then the other ones have lost slightly. But all in all, no really large movements in that respect. If we then leave the business areas and move on to the group again and the balance sheet, I would say that we -- I mean, there are no major movements here really. You can see that intangible assets have been amortized a little. Tangible assets we've depreciated as well. Financial current assets are fairly stable at SEK 5.6 billion. So the total balance sheet is roughly at the same level, slightly lighter, if you like. And we can, in a way, jump the equity and liability side and move on to the cash flow analysis because I think that attracts a little bit more of attention. I mean, we've generated considerably more cash than we did last year at this point in time. It's been almost SEK 900 million more, which, of course, is a sign of the recovery that we are seeing. Then the change in working capital might seem severe, so to speak, eating up all of that change. And typically, what we do during the first half year and have done traditionally is to build inventory for the latter part of the year since we often close down our factories, run maintenance in them during the summer, and we need to be fully equipped when we come back from vacation. And we've done that to some extent also this year, but not at all to the same extent. We've been building a little bit of finished goods inventory, but we've nicely reduced our components inventory. So the effect from inventory in that number, change in working capital is actually positive. And we've also had more favorable conditions with our suppliers. So our accounts payables have also contributed positively. So the whole change in working capital here comes from increase in receivables. And we had a fairly strong sales period just before the summer, where we invoiced a lot to our customers. And that came in fairly late. That's also a little bit of a pattern that we have that in the latter part of the month, that's when products really leave our doors. So we've not yet been paid for those, but they are coming in. So it's all a matter of or a consequence of the higher sales that we see this negative change in working capital. Then if we look at the investments in current operations, they are at SEK 1.1 billion. It's very much related to this program that we announced some years back where we're finishing off the last bits and pieces. It's come down from the SEK 1.2 billion will continuously come down. So we believe the cash flow after all is very much or rather much under control. If we move on to some key financial figures, we once again have the investments there. They're all in current operations. We have the unappropriated liquid assets, which, of course, is the cash and undrawn but already existing credit facilities. So they're at SEK 6 billion, which leaves room for both acquisitions and what have you, so to speak. Interest-bearing liabilities continuing to come down. And net debt that hasn't moved much. It's up a little bit of a tick. But as many of you know, we have bonds on the -- outstanding on the market, and we refinanced some of those before the summer because we thought it was a good time, although the maturity doesn't come until after the summer. And then an equity/assets ratio, which we believe is quite decent here with 44%. And then coming back to working capital, I mean, obviously, that is something that we continuously are working with. And you can say, especially on the inventory side, and as I mentioned, we've actually been able to bring that down despite a period where we typically increase it. So again, here, it's very much related to these receivables that I mentioned. But of course, we're looking into inventory turns, receivable and payables. I mean, the days there, the terms so that we optimize this. But we're not either brutal to our suppliers because we need them in both good and bad times. And if you haven't treated them well when things are -- well, when it's in your favor, they might not be there for you when things are tough. So it's always a balance, you can say. And then last but not least, the key financial figures. Of course, return on capital employed, return on equity, they still need to come up, you can say. They will do so with an increased level of sales and profit coming. We're a fairly equity asset-rich company in a way with a 44% equity/assets ratio, as I mentioned. So you have these communicating vessels there, how they will develop. But they will step-by-step come up. Net profit per share has, of course, taken a good jump upwards and also the equity per share has improved slightly. And as always, we never comment upon the share price. That's up to you guys out there to sort of control. And by that, I think we're through with the presentation. I don't know if you would like to complement with something, Eric?
Gerteric Lindquist: No, no. I think we are ready for the questions.
Operator: [Operator Instructions] The next question comes from Uma Samlin from Bank of America.
Uma Jun Samlin: So my first question is on the organic growth on Climate Solutions. So it seems like this quarter has picked up fairly well for you. And my FX estimate is around 5%, 6%, if that's correct, which would then indicate around 10% growth in Climate Solutions. How sustainable do you think this organic growth is in Q2 for Climate into the second half of the year? How should we think about the sort of demand dynamics in the second half?
Gerteric Lindquist: Well, I think we sent a fairly clear signal that we believe it will continue, but not with the gigantic leaps that we had 2 or 3 years ago. But we think we are back to a fairly steady pace. And the market is fairly healthy in Sweden. Germany is a source of pleasure not only for ourselves, but also as a leading nation in Europe, we believe that when Germany sets a target and they return very much to heat pumps, that's a very good sign for the rest of Europe. We also believe that Netherlands is also showing very good signs of continued growth. And then we have the commercial side of it. Like in Italy, we have a particularly company down there, Rhoss, that's really prospering. And that's again an illustration how the balance between residential and commercial should perhaps be a little bit more towards the commercial, which seems to be more stable. Same thing in North America. Our commercial products there also show a healthy development. So in summary, yes, we believe that the growth will continue. To give you a percentage on the growth, I think I have to refrain from that because we have not written anything about it. But verbally, we have given you a sign that we believe in continued growth that we are -- and as again, the headline saying that we look at the future in a more positive way. But saying that, you always have to be cautious, of course. But that's the best I can answer the question.
Uma Jun Samlin: That's really helpful. My second question is on the -- on your market share and what's against competition. So can you give us a bit of more insight on the market share changes in the quarter? Have you lost or gained market share in the key markets such as Nordics, Benelux and Germany?
Gerteric Lindquist: I think that the market shares are very stable. With the market as it is, of course, we can always say that we have gained somewhat. But I think that you can be very certain that we have not lost any market share. We have followed the market growth and with the rationalizations that we've done, with the investments in place and so forth, we've been able to benefit from that. But I think that in summary, our main markets is positive, but the markets have also developed positively. All right?
Operator: The next question comes from Carl Ragnerstam from Nordea.
Carl Ragnerstam: It's Carl here from Nordea. Two questions from my side as well. Firstly, on your margin sort of guidance in Climate Solutions. It is the same, but when I read it, it sounds a bit more prudent compared to the one you at least wrote in Q1. Is it any difference at all? Is it anything trend-wise you see that is holding you back? Or is it just sort of you being a bit more prudent with the -- I guess, with the things happening, especially in the U.S., I guess?
Gerteric Lindquist: Well, I think that we have a continuous story where we are, as I've said so many times. Quarter-by-quarter, you should be able to follow our history, what we've said and where we are heading. And I think it's appropriate to tell the market and you folks out there that things have not become easier when it comes to the political turbulence and so forth that we didn't foresee. But on the other hand, I think that the market development in a number of countries might have slightly better -- might have been slightly better than we anticipated. So of course, we don't like to neglect the fact with all the tariffs and all the political unrest that we have. Of course, if we didn't mention that, that would be strange. So I don't think that you should read too much into that. It's -- we try to be balanced. If anything, we don't like to send a message now [indiscernible], no problems. But at the same time, we have been able to conquer so far those issues in the market, which we think is a strength. We have had the turbulence. We've had the strengthen of the crown, but still, we came out with a report like this. And that's what you expect out of the shareholders internally. That's what you rightfully should expect about to maneuver, not only being crybabies.
Carl Ragnerstam: No, that's very good. And -- yes. And the second question I have is a little bit about your feeling around the consumer installer/ distributor behavior, whether you've seen any kind of down trading during the quarter that you sell more of, I wouldn't say, entry-level product, but more simpler products, which might come back and fuel the gross margin once the consumer sentiment might return if it's second half or early '26?
Gerteric Lindquist: Well, of course, perhaps I'm too repetitious here now repeating what I've said in the past or what we've said in the past. Excuse me, if I say I, Hans, I mean we are duo here, a team.
Hans Backman: No problem.
Gerteric Lindquist: But -- there are certain categories of heat pumps, and we've been trying to keep a good price discipline not to enter a slightly lower specified segment with a higher specified product. And the margins on the different categories, that is pretty much the same. It is to make -- I'd like to make another comparison. If we sell an insert on the stove side, we have the same margin as we have selling a complete stove. That's how we try to organize ourselves. So we don't would run into difficulties would the mix all of a sudden change. Of course, the invoice value would be lower, but it shouldn't affect the margin. That's how we reason and that's not only within Climate Solutions. That's also within water heaters. You can have very strict water heaters, no electric -- electronic control whatsoever. Of course, that's a different kind. But if you would like to have some kind of a control on even a water heater, then you walk up in a different price category. I hope I answered your question at least.
Operator: The next question comes from Karl Bokvist from ABG Sundal Collier.
Karl Bokvist: Just wanted to follow up a little bit on the comments there you talked about market share, but just to perhaps understand possible regional differences or technology differences or category differences. Just for reference, I mean, if we look since 2019 until '24, the entire European market grew by 9% and your Climate Solutions organic growth was around 5%, 6%. So when we look ahead, it would just be interesting to hear how you think about if the market grows by X, how do you feel about your current geographic position and product position in terms of growth versus the market?
Gerteric Lindquist: When you mention those figures, you talk about turnover or you're talking about numbers?
Karl Bokvist: I talk about the European market volumes compared to the organic growth for Climate, which then includes price/mix, of course, for you.
Gerteric Lindquist: Okay. Yes. I think that we are very determined, and we can also prove that, that we at least grow with the market. We are not geared for losing any market share. Having said that, we also understand and fully appreciate that, of course, the competition out there is -- which it should be, it's very serious and fierce, but it's not to the point where it's butchering, but a lot of alternatives presented. And we feel that we have very good alternatives from our side, but we are not alone. It's the same thing on the other 2 business areas. So we are confident when the market, as we estimate, continues to grow, we're certainly going to follow the growth for the market at least. Then, of course, we are -- there are some markets where we are not so strong on the residential side. There's no secret that we are not strong in France. We are not particularly strong in some other fairly densely populated countries. So I think that has to be taken into consideration, just mentioning France. Of course, there, we haven't been so successful in the past. And that market is dominated by other groups and there we, of course, can always do so much better.
Karl Bokvist: Understood. And then just a follow-up is more a numbers one related to Stoves. Is it -- early days perhaps, but is it possible to give some kind of indication just how much of an impact the tariffs had on the profits?
Gerteric Lindquist: Well, we haven't mentioned that in the report. I don't think it will be fair to indicate that. But it's not -- you can -- if you give any indication, I mean, we are not talking about SEK 4 million. We are talking about substantial amounts, but I think we don't go any further than that. But as I said, we absorbed that in our say. We don't like to lose anything down there. And then we're just going to see how the market is reacting to those tariffs. It could also be so that when the quarters go by, just a theory here now that the domestic manufacturers might see a chance also to increase prices on their own. And of course, that means that they're going to make it a little bit easy being an importer brand even if it's imported from Canada, but there's speculation. So that has had an impact, double digit, of course, in crowns. But I don't think we should dwell any further on that in all fairness for the rest of our shareholder crowd and those people following us.
Operator: The next question comes from Carl Deijenberg from DNB Carnegie.
Carl Deijenberg: So 2 questions from my side. Maybe firstly, on -- I wanted to ask a little bit on the CapEx development. I mean, obviously, you've been in a quite substantial expansion program now for quite some time. And I just wanted to ask when do you expect CapEx levels coming down more to, let's say, maintenance levels versus expansion, which I guess you're still in. Is that already now for the second half of the year? Or is that going to be more of a theme going into next year?
Hans Backman: We're going to see, as Hans mentioned, I think you mentioned that we're going to see a gradual decrease already this year and not to give any promises that we can't fulfill. Definitely, next year, of course, we don't see our -- the premises are there, and then we're going to return to more maintenance. And of course, if a new robot or something has to be installed, but those are not the phenomenal costs. So it's correct to assume that we will return more to the ordinary way of CapEx already lesser this fall or this second half, but definitely '26 and onwards.
Carl Deijenberg: Yes. Okay. Very well. And then my second question was regarding the sort of heat waves we've been reading about in media, I guess, both in Europe and in the U.S., I guess that comes into demand more of air conditioning equipment and so forth. But would you say that -- have you seen more pronounced demand effects from the weather this year? And would you say the industry has seen a more pronounced effect from that as well?
Gerteric Lindquist: Well, I think that if you just take North America, all our heat pumps are, of course, also in cooling mood in the summer, both residential and commercial. In Europe, it's coming more and more. I mean we are a little bit behind. And for natural reasons, it's warmer, but not as warm as it is in North America. But I think it makes people realize and discuss and reason among themselves, boy, we have to have cooling in our homes. So to a certain degree, I believe that, that is also something that people are considering. And they also dwell upon the economy. The cooling is relatively expensive if you do it in an old-fashioned way, but you can also do it very economically with, as we call it, the heat pump. I hope I was fairly clear in my answer. Or was that a hide and seek answer?
Carl Deijenberg: Yes, yes, yes. No, that's -- it's all right. Maybe just a quick follow-up on that one. And then given what you talked about, I mean, I guess this is more pronounced on the air conditioning side, where I guess your exposure is a little bit more limited. But given the long- term trends, and I guess everything is pointing to a warmer climate over time, I guess, in all your geographies basically, is that product categories that you would, let's say, considering entering now given the development that we're seeing? Or is that not of interest for you given lower price points and different margin profiles and so forth?
Gerteric Lindquist: Well, I don't think that we should give any promises here that we haven't said in the report as such. But of course, it would be very strange if we wouldn't follow the market trends, whether it is in any category of products. And when the climate is getting warmer, of course, we have to follow that pattern. All right?
Operator: The next question comes from Christian Hinderaker from Goldman Sachs.
Christian Hinderaker: I've got 2 questions. Firstly, you've called out commercial as a future development area in the report. I believe this is a double-digit percent of your Climate Solutions business, but it's 2/3 of the U.S. Climate Solutions sales. I guess, firstly, is that correct? And then secondly, are there specific customer areas in commercial that you sell more to than others like commercial, data centers, industrials? Just eager to understand the mix here a bit better.
Hans Backman: Well, if we talk about your assumption about the shares within the group, they are fairly correct, you can say. So I can confirm those. But maybe, Eric, you would like to mention the different areas that we're focusing upon.
Gerteric Lindquist: Well, I think that we have not specifically focused on a single segment of the market that we have ventilation, we have chillers, we have larger heat pumps, not to be too dependent on one category of products. We are perhaps, should I say, conservative when it comes to that, but we know that if one category of product really escalate very quickly and then you lose out on something else. So we are selling to commercial buildings. We're also selling to data centers. But that's not been a major, major, so far, should I say, market effort -- marketing effort from our side because we are -- but we are there, but with a broad assortment, not to be dependent on one particular segment. I guess that's more our view, just like we have so many categories of corrosion protection when it comes to water heaters. We have different refrigerants. We have different categories of heat pumps. And if one is really rushing, of course, we like to be present there, but we haven't made any fantastic effort just being bigger at the data centers. So we are a player there, but perhaps not the most recognized player. All right?
Christian Hinderaker: That's very clear. Maybe secondly then on Stoves. I think if I look back, the SEK 51 million loss was the lowest margin quarter since the second quarter of 2007. You had lower segment sales in Q2 of 2018, Q2 of 2019 and Q2 of 2020 for that business. I know there's been some acquisitions since, but in those periods, you still turned a profit. I guess the tariff effects are a challenge. But I guess just trying to understand the other margin drivers. Has there been a change in mix? I don't know if the recent acquisitions have driven the lower margin or maybe you've transferred some sales or product development or marketing costs here from some of the other segments. I'm just trying to understand if you've got a higher revenue base, the sort of core driver of that margin softness.
Gerteric Lindquist: Well, one example is, of course, that we entered the pellet market with an acquisition in Portugal. And of course, that was -- the timing wasn't perfect, we can say. So there, we, of course, have cut down costs, but we still sit with a new production hall and sales organization. Administrative people have been reduced naturally, but that is one example of a burden to the margin. We believe they're going to come back, but it will be a longer haul. So we see signs of recovery, but that's an example where you have too much of a cost structure in relation to sales. All right?
Operator: The next question comes from Viktor Trollsten from Danske.
Viktor Trollsten: Perhaps firstly, to you, Hans, just if you could expand a little bit on the comment on working capital in Q2. I just noticed that, I mean, historically, you tend to always build working capital in Q2. And to me, it sounds like the buildup in working capital this time around was only driven by receivables, basically SEK 600 million increase in receivables. So what does that mean then for the second half where you typically release working capital? Do you think that you can have a release already in Q3, given that you will sell those receivables? Or what's specific in that?
Hans Backman: Well, I mean -- thank you, Viktor. I mean, we don't sell the receivables, obviously. I mean, we collect them. We don't work like that on the working capital side. But historically, and I mean, I can't give you any forecast here and say more than what's in the report. But historically, we've had this pattern where we build up inventory, especially during the first half and then sell it out because we need to, as I said before, be equipped when we get back from vacation and not wait for the production to pick up, so to speak. This year around, we did the same to a smaller extent on the finished goods side, whereas we continued to reduce the component inventory. So that had a positive effect. And the reason again for the increase was late sales, so to speak, in the period. They came in just before the summer. So we have not collected them yet. Traditionally, also if we look back, we've had very few losses on our receivables. We have very stable customers in that sense. So obviously, they should kick in and come in here during the second half of the year. We're also following the seasonal pattern, so to speak, we should generate more sales and have our factories up and running for the second half. So if we follow that pattern, which we have reason to believe we should do, we should see an improvement here.
Viktor Trollsten: So I guess it's reasonable to think that if you released basically SEK 500 million last year in a quite tough market, right, in the second half of 2024, you should be able to release more than that this time around, if not anything else pops up?
Hans Backman: If not anything else pops up.
Viktor Trollsten: Okay. That sounds good. And then secondly, just on acquisitions. And obviously, perhaps I'm a bit too early here. Balance sheet is still a bit too stressed, I guess, in my test at least, but will probably look better at year-end, given that you're aiming for higher earnings and some cash flows coming through. So the question being, at what level of gearing would you be -- feel comfortable of starting to acquire again? And a follow-up on that, since you have not made an acquisition since 2023, I think, just curious to hear your thoughts whether you have missed out on opportunities or if the pipeline has rather been piled up from that context?
Hans Backman: Well, I don't think we have really missed out on so many opportunities. I mean we obviously made a big acquisition in terms of Climate for Life in mid-'23, which is an excellent fit to the group. But the reason why not so many acquisitions have kicked in after that is simply that a lot of the sellers have based their projections on the phenomenal development that many experienced '22 and '23 and drawn out the line based on that, whereas the buyers have seen what really has happened in the market where the -- it's very unlikely that, that development will continue at that level. So it's been difficult to meet, I think. I would say that's probably the main reason. As a matter of fact, we have made a couple of acquisitions or some, but they've been so small that we've not needed to communicate them to the market. And then in terms of the net debt or the gearing here, I mean, we have deliberately not set out a finance policy saying that it should never be below or above a certain level, above rather than below because we do want to have the opportunity to go after an acquisition when it comes around. And we've been up to above -- far above the levels where we are today when something interesting has come along. And then we have amortized it fairly quickly. So -- but I think Eric would like to add something here if I read his body language.
Gerteric Lindquist: Well, I think you're absolutely correct. I think that if anything, it's more level headed now, 2 years ago, everything was the sky was the limit. And now everyone realizes particularly '24, boy, it's not so good forever. And now I think we all are more realistic in all 3 business areas, okay? It was a phenomenal increase and a phenomenal decrease. And now we are back perhaps to a more -- on our way to a more normal level of growth. And of course, we are very much set on continue to acquire. We have not changed our targets. The target is like before, 10 plus 10 growth. So of course, we can't just wait and wait and wait. But obviously, the '24 perhaps didn't take the window out of our sales, but it would have been strange if we would have acquired companies at the same time we were cutting down costs and reducing people. Psychologically, we believe that would have been wrong. And price expectations had not come down because a lot of companies or several didn't think they would affect them. I dare to say that in our business, all 3 businesses, all manufacturers were affected. So I think it's a more realistic world. And of course, no one is getting younger, including the fellow who's talking. But family companies that are set to eventually divest, they are coming back, and they are looking for, in many cases, industrial buyers. And there, we have a good fit. So it's correct to say that the -- there will be an increased activity in acquisitions and also hopefully coming back to signing on the dotted line.
Operator: The next question comes from Vivek Midha from Citi.
Gerteric Lindquist: Hello? Vivek? Okay, we move forward.
Vivek Midha: Hello, can you hear me?
Gerteric Lindquist: Sorry.
Operator: The next question comes from Cedar Ekblom from Morgan Stanley.
Gerteric Lindquist: Sorry Vivek, if you can queue up again. We take Cedar first.
Cedar Ekblom:
Morgan Stanley: I just wanted to come back to the comment that you made around potential growth in air conditioning. I know that you're not being explicit around it, but to the extent you wanted to grow in that market segment, how should we think about how you would step into that product category? Would it be something that you would look to get into from an M&A perspective? Or would you look to try and adjust some of your production footprint, appreciating that there's quite a lot of overlap between a heat pump product and an air con product. I just think that's quite an interesting sort of shift in some of the strategic messaging. So I'd like to dig into that a little bit more.
Gerteric Lindquist: Okay. Well, it will be both. You can say, of course, if you like to really make a heavy entry, then we would most likely have to acquire something or a few for that matter, but also adaptations, and we can just talk about the exhaust air heat pumps that we launched with cooling 1.5 years ago. That's not something that we necessarily thought of or felt that was necessary 5 years back. But then coming back to the climate and coming back to the comfort needs even in our own country, the northern part of Europe, that became very obvious that we had to do something. So that is on the market. So I think that answers the question. We will modify our products if they aren't modified already, but also go for acquisitions. It will be a combination.
Cedar Ekblom:
Morgan Stanley: Okay. And if I could just get a follow-up. When you look at the air conditioning market, it does tend to be a little bit more competitive, at least lower margin than heat pumps. How do you think about that from a mix perspective? Would it be a case of you're attracted to the potential top line growth and that the competitive landscape is not something that would steer you away from that? Or do you think that there are specific regions maybe where the competition is less acute? I'm just -- it's a very -- I think there's an interesting growth story there. I just wonder how we think about the mix between margins should you grow in that business over time?
Gerteric Lindquist: I don't think that we're going to abandon our philosophy being in different segments of the market. And neither do we expect air conditioning to take over everything. But of course, you have to adapt, but we are known for being more premium and perhaps also mid-segment-oriented, not being in the lower segment if we categorize them in 3 levels. So I think that the example we made here on exhaust air heat pumps, that's definitely in the premium range. But we believe that our customers, loyal installers all around Europe and all around North America, they would like to see us supplying them with products that they could sell under our brand names, respectively. So it's pretty much something without diluting our profitability, but giving the installer there a broad range of products that they can offer to the customers, selling their confidence to them and need standing as a guarantor behind those products. I think that's how you should look at it, not getting into a dog fight, if I may call it, price-wise. We missed something -- someone there.
Hans Backman: Vivek is coming back.
Operator: Your next question comes from Anders Roslund from Pareto Securities.
Anders Roslund: Yes. Do you hear me? Do you hear me?
Gerteric Lindquist: Yes, yes, absolutely.
Hans Backman: We hear you, Anders.
Anders Roslund: Yes. I had just one question regarding Germany. It seems that other competitors, Daikin and Carrier have also reported very strong German sales. So my question is simply, what are the main drivers there relative to other parts of Europe? Is it the subsidy program? Is it that destocking is coming to an end and you see a sort of a onetime up to a certain level and then it's leveling out. What are the trends in Germany in explaining the strong outcome there?
Gerteric Lindquist: Well, it's a mixture that we can judge. First of all, we believe that Germany or -- I mean, not Germany, but the German market for heat pumps was very much overstocked, perhaps more overstocked than any other market with the exception possibly of Poland. Those 2 markets stuck out. And we also warned for that when we came out a year ago and say now, it's slimming out. We said that Germany is going to take another couple of quarters after the year-end, and we believe we are pretty much there. So that's one thing. The other thing is that -- the sales of gas boilers, as we understand it and as we interpret it, is going down. So that is signing or giving a clear sign of customers saying, well, I'd like to have a heat pump rather than a gas boiler. So that is another trend. So it's a combination of coming from a situation that was on a path to perhaps 300,000 or 400,000 heat pumps and then going down very quickly because of the dramatic increase in inventories. Now that has slimmed out. The market is coming back, perhaps not to the level that everyone anticipated in Germany either 3 or 4 years ago or 2 or 3 years ago, but it's certainly coming back. So a combination of the 2. I hope that gives you a little bit better of a feeling for it.
Anders Roslund: Yes. I have just one last question regarding Germany, and that is, it seems that the electricity taxes may come down. There is a package or law going to be introduced. But so far, nothing is mentioned about electricity for consumers or heat pumps. What do you think about that?
Gerteric Lindquist: Well, we believe that we are not any forecasting giants or wizards in that. Of course, we have always argued that the electricity prices they seem to be extremely high. And we are a bit spoiled perhaps. Or it's more a realistic spread or the spark spread, as you call it, between electricity and gas and oil. And we believe that, that will come down. But to forecast any specific time, I think it's dangerous to give us out on that ice. But there is, of course, a steady discussion that you have to make it a little bit less cumbersome for a person to install a heat pump and using electricity than just continuing with gas. And the pleasing thing is, I think I used the source of pleasure here earlier, which is a strong word. But the consumers, even if the prices are high, they seem to prefer heat pumps. And I think that's very good because that sets a standard, of course, for Germany, but also for Europe. Previously, we had a few countries, including our own, where everyone talked about heat pumps. When they start really to talk about that in Germany, that's also a signal to many other countries in Europe. That's a very important factor. But to give you a forecast on electricity prices, I think we refrain from answering that more specifically than that. Thank you. Now we return to our friend, Vivek.
Operator: The next question comes from Vivek Midha from Citi.
Vivek Midha: Can you all hear me?
Gerteric Lindquist: Yes. Yes, absolutely. We apologize that you were disconnected. That was not a planned disconnection.
Vivek Midha: Apologies for the technical issues. I'll just stick to one, and it's just a clarification on your comment earlier about making similar margins on, say, lower-specification and higher-specification products. Should we think of that as similar gross margins on those different product levels or on the EBIT margin level? Because presumably, a lower price point means that you have slightly less fixed cost coverage. So how should we think about that comment?
Gerteric Lindquist: Yes. All right. That's -- how do we answer that in a very specific way? Well, as I said before, we believe that if we would go into other segments of the market, like we did now with the heat pump or the exhaust air heat pump cooling, we did not, of course, add any sales staff to that. And what we also said about installers, you don't necessarily need to increase sales staff when you start to sell another assortment because they already have a relationship. They're already handling a larger assortment. So I think that we should reason along those lines before, but I mean, promise or promise, but that's how we think to couple new products to an already existing sales organization that has the power, the leverage to bring new products on board and not necessarily increasing costs for every million you add in sales. If you like to add something, Hans, it's fine.
Hans Backman: Yes. No, it's just along the same lines that you're saying. It's not a matter of replacing existing assortment or having some cannibalism in there. It's more a matter of us for being a complete supplier where there is a demand for, let's say, air-to-air or a lower spec that we should be there.
Gerteric Lindquist: Thank you for clarifying. Perhaps I misunderstood the question a little bit. But I hope you are satisfied with that answer, Vivek. Well, I think that...
Operator: There are no more questions. So I hand the word back to Eric and Hans for closing comments.
Gerteric Lindquist: Okay. No, thank you very much for putting those intelligent questions to us, and we hope that we've been able to answer them, if not fully, but at least giving you some clarity on the different issues here. And with that, we exceeded the time line with some 10 minutes, but we felt it was appropriate to do that today with the questions coming up. So thank you very much again. We wish you a nice weekend coming up. Personally, I have a little bit of fever today if you don't recognize my voice. And it's wonderful to have grandchildren, but they're also very contagious, I realize. So that's -- I'm not saying I don't like grandchildren, but they give you -- you get very sick very quickly.
Hans Backman: They give you the flu sometimes.
Gerteric Lindquist: Yes. So with that said, thank you very much.
Hans Backman: Thank you. Bye-bye.